Nick Lawson: Good morning, good afternoon, and good evening to wherever you are in the world. My name is Nick Lawson. I’m the CEO of OceanWall. I’m delighted to welcome you to the ASP Isotopes fiscal year 2024 results webinar. We’re delighted to have with us Paul Mann, Chairman and CEO, and Dr. Hendrik Strydom, who’s ASPI’s Chief Technology Officer. Firstly, gentlemen, congratulations on this morning’s press release regarding Ytterbium-176, an incredible milestone for you. Before you tell us more about that, can you take us through the 2024 results, please? And also a review of Q1 ’25, your outlook for 2025, and then give some commentary on, today’s announcement, please. So, gentlemen, over to you.
Paul E. Mann: Yeah. Thanks, Nick for hosting this call. I’m joined here by Dr. Hendrik Strydom, who is our Chief Technology Officer and I'll let him introduce himself in a moment. Anyway, we're a NASDAQ listed company, if you could just look at the forward-looking statements and disclaimers in our 10-K alongside this webinar that would be great. It contains a lot of information in our 10-K which was published last night. So yeah, the fourth quarter was exactly our expectations, PET Labs a fairly stable business and you know $4.2 million of revenue for the year. Nothing unusual is really happening so far this year. We haven't given guidance. We don't expect to give guidance for this year and I can't give guidance for the first quarter on this conference call because it's obviously not -- it wouldn't be appropriate but about the main financial quarter for me with the starting up of three manufacturing plants to start commercial production. So none of them go easily but they all went, and so the Carbon 14 plant obviously had a feedstock issue in terms of getting the feedstock from Canada. That arrived in early February and that plant is now is now enriching Carbon 14. We still need to get our second batch of feedstock into this so I think this should arrive, I think which should arrive -- I think it needs to arrive by the end of March to be able to make it through the storm but that should arrive fairly soon. The Silicon 28 plant had a number of challenges while we were commissioning. We've got an incredible engineering team and they were able to work through those challenges. One example was the cryogenic pump is supposed to produce helium at minus 120 degrees C. We need that in order to recycle cyanide out of the plant and balance the plant. We're going to get down to minus 90 degrees C. So we got delayed couple of weeks, get the OEM supply out and then they've got it fixed. You know a couple of compressors, the impellers broke. Again we've got a great team of engineers, they repaired those impellers and got it working. So I think it's pretty incredible the engineering team we've built over the last three years down here in South Africa and the challenges they're able to deal with and just work through. Then Ytterbium-176 also had its fair share of problems as well. The mass spectrometer didn't work, And we spent three weeks struggling with that. The vacuum pumps were inaccurate. We again took a few weeks struggling through those, and finally at the finest point we announced that the successful enriching Ytterbium-176, and we've started enriching for commercial samples now. So those are the main highlights in my opinion Nick for the quarter. I'll hand over to you for any questions now.
A - Nick Lawson: Okay. So I've got a couple of questions that are coming in. In terms of, the first one is in layman's terms, can you explain what the relevance of enriching Ytterbium is to enriching Uranium please?
Paul E. Mann: Hendrik, do you want to this question or…? So they're probably more similar than different I would say. You know actually Ytterbium has -- both have different spectroscopies. Ytterbium has five isotopes whereas Uranium's only got two significant ones. So it's easier to enrich a product where you've only really got two isotopes rather than five. You know Ytterbium's a bit quicker than Uranium but Uranium has to be vaporized at a higher temperature, so different materials are required in the production vessel. And also it's radioactive. And I guess also the spectroscopy in terms of 3,000 Kelvin is less in the ground state which is one of the problems very often is that it's really extra large.
Hendrik Strydom: Yeah I think firstly if you go back to the lasers, lasers since the '80s and '90s have developed. It's been used in the semiconductor industry. They've got a high spec to it and that suits us very well. So we buy off-the-shelf lasers today, no development there. What we do to the lasers is to shape the beam. I think that's the big difference. But going towards Uranium, yes in the ground state at 3,000 Kelvin, not that many left there. So you need to address the spectroscopy and get hold of all the 235 of them.
Nick Lawson: Okay, so questions are coming in. Obviously everyone's aware that there's a Q&A button on the Zoom function. We've got 197 participants. So we'll do this fast and furious Paul as well. What are your expected revenues for ASPI in 2025 if you can talk about that and will you reach free cash flow positive by the end of the year?
Paul E. Mann: So we haven't given guidance for the year. We don't intend to give guidance on this call. But you know if you look at the contracts that we've signed, you should be able to add them up and work out what our annualized run rate would be from the facilities. And so Ytterbium -- and you think you can get maybe a kilogram per year of production of Ytterbium. We've said think about $20,000 a gram for Ytterbium. And for Carbon-14 we've said that we have a take or pay contract for a minimum of $2.5 million a year. But perhaps we'll do it with more than $2.5 million. They can take more. They've certainly shipped feedstock for more than $2.5 million of product this year. So maybe that's slightly over $2.5 million. Then we've kind of said we've got two small orders right now for Silicon 28. We'd expect to get some more orders over the next sort of few months. So we're talking to three or four additional customers who we expect to place orders. And also I think our two customers who've already signed up want to increase their size of their orders this year as well. So that kind of gives you an idea of what ASPI will do. Then Pet Labs did $4 million last year. That should grow nicely this year because we've invested heavily in that business. And so that should grow nicely this year. And in terms of free cash deposits, if you add those revenues up and you spend it in terms of our cash operating expenses, you'll see we should get cash deposits during the second half of the year.
Nick Lawson: The press release said the company anticipates now being able to proceed with the plans to construct the Nickel-64, the Gadolinium-160 and the Lithium-6 plants. Can you give some guidance on the timing of the construction around those plants, please?
Paul E. Mann: Yes, so Hendrik and his team built the adjoining plant in just two months. It took six months for procurement, but two months to actually put it all together and construct it. And then they spent about six months commissioning it and fighting through various small problems that occurred during the early stages of any plant startup. So I'd like to think we have the first plant kind of coming into action later on this year. We'll see. It depends on the government. And we require export permits from certain countries to ship lasers into South Africa. We've got an import permit to bring it into South Africa. And that can take some time to get there. They're out of our control. We've already applied for the export permits in the countries we need it from. And so we'll wait and see how long it will take.
Nick Lawson: Hendrik, so the press release talks about the expectation with Ytterbium-176 getting to 99.75%. What's the nameplate on the facility? And how quickly do you expect samples to be approved?
Hendrik Strydom: Well, to get to 99.75% in one step is not impossible. We do it in batches. So the first batch work up to 88%, 90%. And that takes a long time. And then the last bit takes about a day to get to 99.75%.
Paul E. Mann: So yeah, we haven't given guidance on when we're going to ship it. I think we've said in the first half of the year, probably till the end of the second quarter.
Nick Lawson: Okay, given the SMR race in the U.S., are there any plans, ambitions to expand manufacturing enrichment capabilities in North America?
Paul E. Mann: So absolutely, we have plans to do that. It's likely we'll try and have a partner model by ourselves. And so if you look in South Africa, we've partnered up with Necsa, the South African Nuclear Engineering Corporation. We may well partner up in the United Kingdom with a partner there. And we'd like to partner up with somebody in the United States as well to help through the regulation licensing challenges. And again, constructing any form of uranium or nuclear plant, it's the licensing and the regulation side that takes the time. It's the longest part of the process.
Nick Lawson: Is there, I mean, I sort of know the answer to this. Can you give any comment on the timing of the QLE spinout?
Paul E. Mann: Yeah, we haven't given any guidance there as well. What we have said is that we'd like to do it when -- well, there were two things that had to happen in order for us to be able to spin out QLE. The first is that we had to identify the location where we'd build the first uranium plant. And obviously, we've announced that in December. That's now [indiscernible] in South Africa. And we're working hard with Necsa now to secure the appropriate licenses and permits that we need to build that plant, to build the test batches and research up there. And the second for me was to see line of sight to cash flow break even better than ASP Isotope side. Obviously, now we've got three plants up and running. I think that box has ticked as well. And so I'd like to think we do it as soon as possible. We need to bring -- permits out of our control. We need to file some documents with the SEC and they get reviewed by the SEC. It's sort of a 30 to 60 day process. So we could be doing it quite soon.
Nick Lawson: Yeah. And I think you and I can maybe mention that the appetite obviously by the investment banks, this hits the absolute sweet spot in terms of the sort of energy transition profile for large investment banks. Another question, have you signed any supply agreements for Ytterbium? Are you still on pace to sell a kilogram this year? And the price reference here is $20,000 a gram. Is that still correct?
Paul E. Mann: So discussions with customers are around $20,000 a gram. Customers would want to have a sample before they place an order. So what the customer will have to do is check that when they put it in, when they evaluate it for neutron, that they are able to turn to Lutetium-177 and not get any long-lived isotope to produce. And so actually, what's more important in the spec is not Ytterbium-176 being over 99.5%, it's actually how low Ytterbium-171 is. And so they're going to want to see that. And I'm very confident about the spec, but I haven't got it yet. And so they're going to want to see that. And that's really what they need to see before they can sign up to a supply agreement or an order. But we've got a lot of interest in the Ytterbium. We probably have two kilograms of indicated demand already from customers.
Nick Lawson: I'm just going to jump a couple of questions, because there's quite a few on Ytterbium. So you mentioned the ability to scale up the Ytterbium-176 plant by adding additional vessels. Is that still something you expect to do?
Paul E. Mann: It is, yes. Whether we do it in the existing building or whether we do it in a new building, we'll have to wait and see. But again, it doesn't take long to add more vessels, does it? And what are your thoughts on that, Hendrik?
Hendrik Strydom: Yeah, that's the easy part. I mean, when the beam goes through the first vessel, you have very little of the light, and you have a lot of laser light lift for numbers of passes to follow.
Nick Lawson: It's sort of a question you've sort of answered, Henrik, around the number of passes to get to 99.75%. Are there any technical limitations to reaching that? And how many additional passes do you have to do?
Paul E. Mann: We haven't disclosed the number of passes we have to do. But Henrik, any technical challenges thereof?
Hendrik Strydom: No, I mean, in single runs, we've demonstrated about 90% enrichment already. But then you also do a little bit, so you actually need to have a sweet spot where you run your batches.
Nick Lawson: And what do you think the actual demand is for Ytterbium 176 in the market?
Paul E. Mann: Yeah, that's a difficult one to answer. Right now, we've clearly got interest in two kilograms from various customers. But you know, Pluvicto [ph], I think they've been in this for 30 years since launch. Pluvicto is likely going there for the next several years as well. There are a number of other [indiscernible] and radio therapeutics in development from other companies. And you know, there are certainly not many more applications for Pluvicto.
Nick Lawson: Oh, very quickly, can you bring the microphone a little bit closer? It's a little bit muffled, the audio. If you could just bring it a little bit closer to you, please.
Paul E. Mann: Is that better?
Nick Lawson: That's better.
Paul E. Mann: Okay, yes. So Pluvicto has only been in this since launch. And so, you know, it's still growing very strongly. And there are lots of clinical trials to expand the number of indications for Pluvicto. And in addition to that, there's a number of companies running drugs with Ytterbium-176 as well. So I think we're in the early stages of the product cycle. But you know, we'll have to wait and see how big it actually ends up in the coming years to come. [Multiple speakers].
Nick Lawson: So in terms of ramping production, it's going to be a function of the demand you see for it, or do you have plans to ramp up production?
Paul E. Mann: Okay, regarding production we are [indiscernible].
Nick Lawson: So we're coming back now a little bit to the financials and also to the contracts with the SMR company. So given your expansion plans for the second half, do you expect to be doing another equity raise?
Paul E. Mann: Yeah, I think if you look to our balance sheet on December 31, we've never had that much cash in our balance sheet at the end of the year. If you look at how much operating cash flow we spent last year, it's about $58 million. So if you look at $58 million or $60 million, we finished a year with about four years of operating free cash flow operating burden sitting on the balance sheet. We hope to get cash flow breakeven or better in the second half of the year. And when you look at the capital cost of building these laser plants, it's not that significant. Our internal capital is really pretty remarkable. So the Ytterbium 176 plant probably came in at about maybe $3 million, that kind of number. We spent $2.5 million initially and we had about a $0.5 million of capital exit in the final few months. And so these plants are large and not expensive.
Nick Lawson: Okay, before we get on to TerraPower, so a couple of questions around the QLE convertible note. Any progress around the note? And also today a new subsidiary was added as part of the scene in the 10-K, QLE TP Funding LLC. Can you talk a little bit about what that is, what that subsidiary is for, and also any progress on the QLE convertible note?
Paul E. Mann: So in terms of the progress on the QLE convertible note, I mean, I think that will convert into QLE stock on the spinout. And so, I mean, there's not much progress to make on the spin-out note, QLE convertible note. In terms of that new subsidiary, ASPI TP funding, it's difficult for me to really comment on, because I wasn't actually aware that was in there. It's when we fund the South African plant, it's likely our partner will want to fund it via a U.S. entity, not via a South African entity. And so that is an entity that's set up to receive capital to flow into South Africa to build a uranium facility.
Nick Lawson: Okay, so into TerraPower now. So lots of questions here in terms of the current status of the contract, things like the prepayment timelines, and the sort of bigger question of TerraPower as a U.S. partner.
Paul E. Mann: So we're talking to a number of potential US partners, one of whom is likely to be TerraPower. They clearly have a good relationship with the U.S. government, the DOE, the nuclear regulator. The other people are closer to the uranium emission cycle than they are, so we'll see. In terms of the status of contracts and stuff, we will announce to the market when we sign a definitive supply agreement and a definitive investment agreement, which is what we are working on at the moment. Supply agreements and investment agreements are quite challenging things to put together, they take a long time. So just by way of example, who's shipping the product, who takes title of the product, when and where, who is getting the feedstock for the block, what the feedstock is going to look like, the spec of the feedstock is going to be, all of that has to be detailed in the contract. What our final specification is going to be and the form it's going to be supplied in, what sort of it's going to be in and how it's going to be shipped. Yes, there's an awful lot of information that has to go into a supply agreement, and so they take some time to write, and so we're working on that at the moment.
Nick Lawson: I mean, in the meantime, Oklo [ph] have made no secret of their respect for your business and vice versa. What's your relationship with Oklo like?
Paul E. Mann: I can't really -- yeah, I can't really, you know, we sign NDAs with most of our customers, so I can't really talk about potential customers or partners. I like Oklo, I think Oklo is a great company, I think they've got a great SMR, I think they're probably first to market their SMR, and, they've got a great business model as well, so they've got a huge backlog of customers, huge backlog of customers.
Nick Lawson: Okay, we'll move on from that. So two questions about permitting, well actually the first one's about regulation. I mean, you and I had an amazing meeting a couple of months ago in Pretoria with Necsa. What are your relationships like, or how are the regulatory discussions going with the South African government at the moment?
Paul E. Mann: Yeah, they're going really well, and I was actually invited to Pelindaba with the government ministers just last week to celebrate the 60th birthday of the nuclear reactor, the Safari reactor. And we have a regular calls with Necsa. So each team, each side brings different skills to the table here. So clearly we bring the technology and the engineers able to design and build the facility, but they've got a huge amount of experience in regulatory, licensing, permitting, that kind of stuff. And so we're talking to the regulator at the moment about what to do, and we have the first test bench ready to go. We're kind of building the second test bench at the moment. And, it'd be great if we could get those done in the first half of this year and start production in the second half of the year.
Nick Lawson: And just in Pelindaba, you've talked in the past that there are shovels in the ground. Can you slightly expand on that?
Paul E. Mann: Yeah, so we need to build two test benches to test our enrichment processes at Pelindaba. The first is built, the second is not yet built. It's being built, being procured and being constructed, and, we'll announce to you guys when the second one is built and when we get the permits and all that to go in and start enriching product there.
Nick Lawson: And then, Iceland, so can you give us some update on where we are with permitting in Iceland, and also when will the building of the plant start?
Paul E. Mann: Yeah, so again, discussions with the Icelandic regulators are going very well, the Icelandic government is going very well. I went to Iceland in January for a couple of days to meet with the government ministers. Bit of a shock going to Iceland in the winter after the South African summer, but a team of us went up there to meet with them, and we've got a great reception, and they're very excited about us coming to Iceland to build medical isotope facilities and facilities that enable next generation semiconductors.
Nick Lawson: Yes, there's some questions, I mean, lots of questions, by the way, I'm not going to ask that have come in because they refer to questions that have been asked already. There will be transcripts, and this is being recorded as well, so you'll be able to see answers to those questions. What is your vision for the company's growth over the next three to five years? Are there any specific milestones you aim to achieve?
Paul E. Mann: We've got internal targets, certainly haven't communicated those externally, but, our goal is to build many more isotope enrichment facilities, some down here in South Africa, some in other countries, and expand our footprint into other regions. And if we do that hopefully the P&L will follow.
Nick Lawson: Headcount changes in the next 12 months, have you got some idea of headcount now, where you see yourself in the next 12 months.
Paul E. Mann: So right now we were at about 130-something on December 31, and now we're at like 150. We probably need to add a few more people still. And, you know, they will come in over the next couple of quarters. We have enough headcount now to operate the existing facilities that we have. They're fully staffed, and so we're carrying the cost of those actually through most of last year. And so, yeah, we will selectively add more people, I think. The big hires we need to make this year, I think we need to hire a Head of Medical Isotope sales in the United States, and Europe as well. I think we need to add a Head of Electronic Gases sales in the United States, or globally, I guess. So they're the three main hires I think we're now ready to hire. You know, we held off making the big hires until we were actually in complete production, and now we are at the time to make those hires.
Nick Lawson: Okay, so there's quite a few questions. I'm going to be a bit fast and furious here, Paul and Henrik, on this one. When do you actually think you'll start enriching product in Pelindaba?
Paul E. Mann: Yeah, that's out of my control. That comes down to the regulator. I'd like to think we can do it this year, but obviously I can't make any guarantees for that because it comes down to the NNR, which is the National Nuclear Regulator. They've been very supportive, and this is classified as a high-impact project for the country, and so it's getting a lot of attention from the government and from the regulators, and so hopefully they'll be forthcoming and cooperative and helpful.
Nick Lawson: How are the market prices changing in the three producing isotopes at the moment?
Paul E. Mann: Carbon-14 is affixed at $24,000 a gram, and yeah, that's a take-or-pay contract at that price, and it's just fine. Ytterbium, again, we've had a lot of push-back from customers when we talked about $20,000 a gram. There seems to be a lot of demand at that price. Silicon-28 is the one where I think we will lower the price a bit, so we're talking about $0.5 million a kilo up until now. I think we can bring that price down a bit to try to push more demand into the marketplace and make it so that we don't stoke the market. So that people get excited about using Silicon-28 and then find other places to use it. As I think I've said before, if we can build Silicon-28 market in Iceland and it's of the right scale and of the right size, I'd like to make it something at $20 a gram. That's still like a 75% gross margin, but that's obviously some years away, and as with most things in life, that's cool.
Nick Lawson: Okay, so obviously we had the Fuzzy Panda issue back in November last year, which we've sort of got over in terms of intellectually, but in terms of sell-side coverage, the question here is, would it be great to get more sell-side coverage just to lend more credence to the story? Are there any updates coming here?
Paul E. Mann: You know, I've talked to a number of investment banks. I was in New York a few weeks ago talking to a number of investment banks. It's fingers crossed, let's wait and see. Hopefully, yes.
Nick Lawson: Okay, a question here. At the Cyclotron Centre in Norway, are there any collaborations? What's the current relationship there, and are there any ongoing collaborations?
Paul E. Mann: Again, with the customers, we sign NDAs, and we can't really talk about our discussions with other government entities and that kind of stuff, but we know the Norway Cyclotron Centre very well. It's a really good center. It supplies most of Norway with its pet isotopes and its spec isotopes, and actually all the R&D is done there as well, so it's got a great group of scientists up there. It's a pretty impressive facility. Yeah, we know it well.
Nick Lawson: With Molybdenum, Moly 99 and Moly 100 in Richmond, are there any potential partnerships with U.S. organizations in enrichment development there?
Paul E. Mann: We are having discussions -- we've had lot of discussion with U.S. potential partners there. That's the biggest commercial opportunity we have in medical isotopes. It will take a while to get into, but there are certain customers that want to take the Molybdenum 100 or Moly 98 and convert it into Moly 99 or Moly 99.
Nick Lawson: Okay, I'm not going to ask this as a question, because I think it's more of a comment that's come through, but I think a lot of people are quite keen now from the CSFO perspective that we get financial results in a more timely manner. How would you respond to that?
Paul E. Mann: Yeah, so I think last year, before Heather joined as CFO, we missed two of the deadlines by about three or four days. At least this time, we filed on time, which was March 21st. Heather's doing a great job. She's putting in place a lot of the controls and the procedures and processes that we need in order to be SOX 404B compliant and SOX 404A compliant, and with that comes more automated, better invoicing, and you have to remember down here in South Africa, a lot of invoicing is still done on paper. And so it just takes time for auditors and accountants to get those pieces of paper together and put them into financial statements.
Nick Lawson: Okay, thank you. Are you seeing any new emerging competitors with the market opportunity ex-Russia?
Paul E. Mann: No, we're not, no. Actually, since I know a couple of small universities, I am now talking to Ytterbium-176. I'm told there's a few grants [ph], but there's certainly things like Silicon 28, Carbon 14. Yes, not seeing any competitors there. Now, Silicon 28 is an interesting one. So, in theory, [indiscernible] can all go to Silicon 28. When we talk to the semiconductor companies, they can't use the Silicon 28. They produce very easily, because it's [indiscernible] tetrafluoride, and they can't get it to 6N purity. They can't. And when they really get that die size and [indiscernible]. And so, they're struggling to use it. And I think that's -- so what I'm told they can produce it, there hasn't been much of a market impact or demand for it from the semiconductor companies.
Nick Lawson: So, obviously, there's a lot of press at the weekend about Novartis and Pluvicto. Do you want to talk about how many new contracts you expect to sign in Silicon 28 in the coming year?
Paul E. Mann: Silicon 28, I'd expect, we're talking four or five customers right now. And you'd expect to sign contracts with all of them at some point.
Nick Lawson: Questions back again about the short interest in the stock. I mean, we're now at 30%, which is sort of strong bearish sentiment. Sorry, Paul, do you mind just moving the microphone even a bit closer to you?
Paul E. Mann: Yeah, there's a microphone stuck on the wall over there by the television.
Nick Lawson: Did you -- Mr. Mann, could you pull the microphone off the wall, please? Sorry, so to everyone saying you can't hear it clear, this is as clear as we're going to get it. I'm sorry about that. So just on the short interest in the stock there, that 30%, I mean, we've done a lot of work on this, and we obviously know that a lot of it is quant driven, it's based on an algo that looks for sort of growth stocks, pre-revenue exhibiting certain characteristics. But nonetheless, the stock is still down 50% since the Fuzzy Panda report. Is there any message, it sounds a bit of a trite question this, but you would like to give to short sellers and naysayers?
Paul E. Mann: Listen, lot of these buyer's and sellers work. I've had to spend most of my career trading stocks. It tends to be to make a market. What I would say is the short interest in most of the new stocks is pretty high. If you look at Oclo, [indiscernible], pretty high. There's a lot of non-believers in Nubia [ph].
Nick Lawson: No, they are. And that's right. And I think a lot of it, as I say, is a function of the way in which the algos are set. And if you look at the distribution amongst the shorts, you know, there is a very large number of them. So a couple more questions. I know we're getting towards the end of the time. A lot, just so you know, I'm not going to be answering all of them, but a lot is around analyst coverage, when you're going to bolster institutional interest. But here we have one here asking about when we'll get independent commercial third party confirmation that enriched silicon is 150% more efficient than unenriched silicon.
Paul E. Mann: So the answer to that is I don't know, because it's unlikely. It's unlikely that Intel, TSMC and so forth will publish the results they get in their research facilities. So but there are some scientific papers out there stating those numbers. And so I mean, so experiments have been done already. But I'd be surprised if our customers who aren't academics publish their work.
Nick Lawson: Okay, so I think we're getting relatively close to the end. Any more questions? It's last chance to add them up. One last question about capacity utilization of Pet Labs for radiation isotopes. Can it be increased at low cost?
Paul E. Mann: So the answer to that, we are increasing it. Pet Labs is running flat out right now. It's running flat out through the entire last year. They're doing four production runs a night currently, which is huge. So we've added a bit of cyclotron into Pet Labs here in, to around 100, we're actually in the Pet Labs building today. We're at Pet Labs offices today. And that's waiting for the final approval from SAFRA, which should come in the next few weeks or so. And that could start producing more commercial products and really ease the supply shortage. Our spect lab just received its commercial assets last week. And so we should see good growth in Pet Labs with those new assets coming on stream.
Nick Lawson: Okay, lots of questions again about spin out of QLE. We've talked about that already. That will be in the notes afterwards. What is your view of post-enrichment after nuclear radiation of isotopes?
Paul E. Mann: Repeat the question again?
Nick Lawson: What's your view of post-enrichment, i.e. after nuclear radiation of isotopes?
Paul E. Mann: I don't really have a view on that. I mean, we make stable isotopes and then we start with the customers, many of whom then irradiate them. And I guess we irradiate them at Pet Labs.
Nick Lawson: So someone here who's obviously been following you, you said the balance sheet used to keep you up at night. Now you're producing isotopes. What keeps you awake now?
Paul E. Mann: I mean, when you're thinking of competing against governments, that's always a concern. You know, there's a lot of -- I think one of our main potential advantages are our capital, cost to build a plant is so low. And if one of these companies you want to build a large centrifuge to get a lot of free money from the government, then, that'll take a lot of competitive advantage. So hopefully governments will be more restrained about giving away a lot of free money to our competitors. It feels like there's more adults in the room now than there were two years ago.
Nick Lawson: Great. Okay. So just one thing, as I said, there's lots of people asking about analyst coverage. One thing I will say is there is a hosting channel called Curation Connect where there is an excellent ASPI page which gives all the relevant information in both short form, long form video, links to all the reporting accounts, to the videos that Paul has done, to expert views and work. It's Curation Connect. And you go into showcases and you go to ASPI isotopes. And that's a very good repository for those that are looking for more. So analyst coverage. So we, yeah, I will drop a link of the analyst coverage to someone's asking for that link. We'll send that afterwards. It's curationconnect, all one word dotcom. So Hendrik and Paul, that was excellent. The news coming out is excellent. The critics are being answered. We've got our results out on time as well. Everything's progressing in the right way. I'd like to thank you for your time. We'll probably look to try and do this in a couple of months' time again. But thank you all for attending.
Paul E. Mann: Thank you for your questions. And thank you to the audience for listening and interest. Thank you.
Nick Lawson: Thank you.